Operator: Welcome to the first quarter 2009 Brady Corporation earnings conference call. My name is Erica and I’ll be your coordinator for today. At this time all participants are in a listen-only mode. We will be facilitating a question and answer session towards the end of this conference. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Barbara Bolens, Director of Investor Relations.
Barbara Bolens: Welcome to our fiscal 2009 first quarter conference call. We’re glad you could join us. During our call this morning you will hear from Frank Jaehnert, CEO, and then Tom Felmer, CFO, will be presenting Brady’s quarterly financial review. Also joining us this morning is Matt Williamson, President of Brady Americas, Peter Sephton, President of Brady Europe, and Allan Klotsche, President of Brady Asia-Pacific, who will all assist us in providing the regional reports. As usual after brief presentations by the team we will open up the floor to questions. We encourage you to follow along with the slides that are located on the Internet as we will be referring to the individual slides as we proceed through the presentation. The slides can be found on our website at www.investor.bradycorp.com. You do have a couple of minutes to get to those while we go through our Safe Harbor statement and usual information. Please note that in this call we may make comments about forward-looking information. Words such as expect, believe and anticipate are a few examples of words identifying a forward-looking statement. It’s important to note that forward-looking information is subject to various risk factors and uncertainties which could significantly impact expected results. Risk factors were noted in our news release this morning and Brady’s 10K filed with the SEC in October of 2008. Second, please note that this teleconference is copyrighted by Brady Corporation and there may be no rebroadcasting of this without express written consent of Brady. Note also that Brady will be taping the call and rebroadcasting it on the Internet and your participation in the question and answer session will constitute your consent to being recorded. Thank you and now here’s Frank Jaehnert.
Frank M. Jaehnert: Today in our first quarter fiscal ’09 report total sales were down 0.5% with organic growth down 2.5%. At the same time our net income was up 2% and EPS was up 4.5%. We are pleased with these results as we made significant efforts over the last year and especially the most recent months to adjust our cost structure to level of business. Our organically growth was mixed as Asia continued its strong performance from the fourth quarter up 11% but the Americas and Europe were soft with the Americas down 8% and Europe down 5%. Despite our efforts in cost containment and process improvement which helped us create the appropriate cost structure with the early quarter business levels, we saw deceleration of business during the quarter. The last half of October was very soft and that deceleration has continued into November with indicators such as the ISM index and industrial production not providing much optimism. As a result of the business level today and the very uncertain negative outlook, we need to take more aggressive steps to reduce the cost structure of our business. During the quarter we took several steps such as freezing salaries this year and cutting back on all discretionary spending. We announced that we will be reducing our workforce by 10%. We are also developing contingency plans for scenarios involving greater business weakness from where we are today. We believe we have responded quickly and decisively for the business conditions of the day and the uncertainty we face for tomorrow. While this is not easy for our management team and our workforce, we believe we are doing what is right. We will provide more specifics of the restructuring and costs associated with it in Tom’s review. I will return after the regional reports to give some additional thoughts on the remainder of fiscal 2009. Now here’s Tom.
Thomas J. Felmer: On slide 3 you can see a summary of the highlights from our 2009 first quarter. Against headwinds of a difficult economy sales of $378 million or 0.5% were down 0.5% compared to last year’s first quarter. Our gross margin declined by 150 basis points which was nearly offset by a 110 basis point drop in SG&A. Our operating income declined 4% over the prior year. Net income of $37.1 million and EPS of $0.69 were up 2% and 4.5% respectively over prior year. Cash flow from operations was -$4.7 million for the quarter, down 114% compared to prior year. I will provide more detail on the cash flow changes shortly. On slide 4 the economy continues to challenge our organic growth. In the first quarter sales declined 1% compared to prior year. We had a -3% organic growth with acquisitions adding 2%. Currency had no impact on the quarter but I will add that currency had a negative impact on revenues in the second half of the quarter. The growth highlights for our quarter was the 11% organic growth that we saw in Asia. Al will provide more color on this in his regional discussion. Moving on to slide 5. As I mentioned earlier, both gross margin and SG&A declined as a percent of sales in the quarter. The primary driver of this decline was the increased mix of our Asian business. In general our Asian business has both lower gross margin and lower SG&A than the balance of our businesses. On slide 6 we continue to focus on launching new products each quarter. In Q1 the highlight of our MPD efforts was the launch of our re-form sorbent materials. Re-form is a cellulose based sorbent that provides our customers with a green or eco-friendly sorbent solution. This product is made from a minimum of 70% recycled newsprint, absorbs more than petroleum based sorbents and is more environmentally friendly to dispose of. We also launched several new label materials and new software packages in the quarter. On slide 7 you will see that our operating profit for the quarter was $56.2 million down 4% from prior year. As I mentioned earlier, net income was $37.1 million up 2% from prior year. Net income as a percent of sales came in at 9.8%. On slide 8 you’ll see diluted earnings per share for the quarter was a record $0.69 versus $0.66 last year. This improvement was aided by the approximately 1.15 million shares that were repurchased in the quarter. Our Q1 EBITDA was $71.8 million. On slide 9 our ending cash balance for the quarter was $178.8 million down from $258.4 million at the end of last fiscal year. Our major uses of cash in the quarter were the $36.5 million used to repurchase the 1.15 million shares, a -$26 million impact on cash that was held on foreign currencies in the quarter, $9.1 million paid out in dividends, $6.5 million in capital expenditures made in the quarter and a $4.3 million negative impact from cash flow from operations. The cash flow from operations decline was led by an increase in accounts receivable in Asia due to the higher sales that we had in the quarter and longer payment terms involved with those sales. We had increased inventories in several businesses mostly tied to unique situations where we were increasing inventories for specific customers or increasing inventories in advance of consolidation of the facilities. We also reduced accounts payable in the quarter tied to the timing of payroll and bonuses that were paid during the quarter. Reducing working capital continues to be a focus area across the company and we expect improvements in these areas going forward. On slides 10 and 11 you will see that we continue to have a strong balance sheet with a strong cash position. We have debt of $479 million that is at an interest rate of 5.26% and is payable over the next five to eight years. We remain conservatively leveraged with a gross debt-to-EBITDA ratio of 1.8 and a net debt-to-EBITDA of 1.1. Moving on to slides 12 and 13 I’d like to spend a little bit of time talking about our guidance for the balance of the year. Providing guidance in the current environment is very challenging. As many of you know, we have limited view of the future based on our incoming business. Most of our orders have a same-day or next-day lead time which gives us little visibility to future orders or potential sales. In preparing our guidance for today we have made the following assumptions. We are assuming the current exchange rates for the balance of the year. We did see sales decline throughout the first quarter so the sales at the end of the quarter were lower than they were at the beginning of the first quarter. We’ve also made an assumption that the economy will continue to soften and will remain soft through at least the end of our fiscal year which ends in July of 2009. As Frank mentioned, we’re in the process of taking aggressive cost reductions in our businesses including a 10% payroll reduction, we have eliminated F09 merit increases around the world, and we’ve also worked very hard to reduce discretionary budgets in all of our businesses. As a part of our cost reductions we’ll take a pre-tax restructuring expense of approximately $30 million in the year. We anticipate the cost savings of our restructuring activities to be approximately $30 million pre-tax in this fiscal year. Additional assumptions include a tax rate of 28%, capital expenditures of $30 million which is down from the previously discussed $40 million, and depreciation and amortization expenses for the year of $60 million. We are also looking at additional opportunities to reduce our cost structure should conditions deteriorate further. Based on assumptions of holding currencies at present levels and the economic conditions that we see today, we expect to see high single digit organic growth declines for the year. Additionally we expect net income and earnings per share to be between $75 million and $85 million and $1.40 and $1.59 per share respectively for the year including a $30 million pre-tax restructuring expense. Excluding these charges we expect net income and earnings per share to be between $95 million and $105 million which is $1.78 to $1.97 per share for the year. With that background we will continue with our regional updates. Matt Williamson will begin with the Americas region.
Matthew O. Williamson: Everyone please refer to slide 14. Americas’ sales in the first quarter were $161 million which was down 8% compared to the prior year. Organic sales declined 8% while acquisitions and currency had minimal impact on the quarter as a whole but was negative later in the quarter. In the US our Brady business was down moderately to prior year driven by a slowdown in the economy and the difficult comparison given the strong growth we experienced in quarter one last year. From an end market perspective we are seeing a significant drop off in sales to the construction, manufacturing and utility markets. In addition we are experiencing sales declines in our direct business driven predominantly by the falloff of demand from a few key customers and to a lesser extent by a movement of some sales to our Asian region. So far we are seeing more modest declines with key Brady US distribution partners. Our strategy to grow sales to industrial and electronic OEMs in Brazil and Mexico is continuing to yield strong results particularly in Mexico. Growth in Canada was also positive driven largely by the energy markets but offset by a slight decline in sales of MRO products. Our growth however in Canada and Brazil slowed toward the end of the first quarter. During the quarter we introduced two exciting new products. We launched our re-form sorbent product that Tom mentioned earlier. This is an eco-friendly product made from recycled paper instead of the traditional products made of oil-based resin. We are optimistic we can take market share with re-form due to its superior performance to oil-based products and the focus of our customers to implement green initiatives. Re-form also protects us again volatile price swings in oil-based raw material. We also introduced a new fire safety software product from our personnel concepts business that helps all businesses simplify and automate a process to comply with fire safety standards. Early success of this product is encouraging and is a good example of our strategy to introduce new and differentiated products. In our direct marketing business organic sales were down moderately due to declines in construction, retail, utility and manufacturing markets, a direct result of the weakening economy. In Canada we saw moderate declines as well while Brazil was up slightly. In the people ID business we are seeing a greater decline versus prior year due to the capital nature of our proprietary software and systems product offering even though business security remains a market driver. As the economy has weakened we are experiencing extensions of the sales cycle as customers put off capital purchases. Segment profit declined 20% or $8.6 million to $35.5 million in the quarter. As a percent of sales segment profit decreased to 22.1% compared to 25.2% in the prior year. The loss of higher margin organic sales volume has impacted our ability to absorb fixed costs and overhead. To offset the impact of the slowing US economy we continue to aggressively manage our cost base, deploy lean management across all functions and continue with our ongoing implementation of SAP. We expect these moves along with further cost reduction initiatives that Tom spoke of will help offset the decline in sales volume and under-absorption of our facilities. Peter Sephton will now report on our European business results.
Peter C. Sephton: We can turn our attention to slide 15. Sales for the European region were $108.2 million down 1% against last year. Organic business was down 5% and the strengthening of the US dollar against other European currencies had a 2% negative impact. Acquisitions continued to contribute positively by adding 6% to revenue. Looking at our business by type, our direct marketing sales declined modestly during the quarter although we realized positive growth over the first quarter of last year in all countries except the UK which was influenced negatively by our decision to withdraw from the low margin FOCAL sign business. In parallel we successfully launched our new green branded Pure Safety which expands our existing health and safety solutions with an environmental product offering. Likewise our investment in E-business through a better website and increase in customer compact fire electronic media has resulted in a bigger share of revenue through these channels. These combined activities had an overall positive impact on that business. Our Brady brand sales also declined modestly compared to the prior year. Sales to the process industry were weak as new investments were held as customers delayed orders. We believe our value proposition in this market is very strong however but we are not immune to effects of the economy. The use of electronic promotions and instructional tools, webinar for instance is having a great success in establishing Brady as the voice of authority for identification in these and other key markets. In OEM markets the sales of printers declined while consumables continued to sell well demonstrating our ability to harvest the success of our capital sales from the previous year. The OEM die-cut business in Germany, Sweden and Slovakia suffered from a decline in the automotive industry. We have been evaluating our production capabilities in the region and decided to cease production of die-cut parts in Bratislava at the beginning of this year and to consolidate our production to two other plants in Europe. The Transposafe acquisition, our security seals business, has been with us for almost a year now and is showing good growth as we continue to integrate the activities and management. Moving now to our operating profit for Europe. Despite the 1% decline in revenue during the quarter, segment profit was up 4% to $31.1 million. Reflecting the increased profitability in most of our product lines. We continue our efforts to drive costs further down through the streamlining of our manufacturing operations in Europe and a generalized lean approach throughout all sites and functions. As a result our operating profit as a percent of sales rose further from 27.5% to 28.8%, a generally pleasing result. Turning now to the wider economy and the external environment in which we operate in Europe. Without exception all of the European economies are experiencing an economic downturn and many have already declared themselves to be in a recession. While this is not a bright economic outlook, we believe our established brands and our market position in Europe will continue to appeal more than our competitors and expect that this will allow us to weather the recession better than them. However we are taking additional steps to reduce costs further in anticipation of a deteriorating economic horizon. With that said I’ll now hand the call over to Al Klotsche who will report on Asia-Pacific.
Allan J. Klotsche: I would direct your attention now to slide 16. Asia-Pacific sales for the first quarter were $109.2 million up 13% from last year’s sales of the first quarter of $96.4 million. Organic growth was 11% while currency had a positive impact of 2% and acquisitions had no impact on this quarter’s sales growth. This quarter was a pleasant surprise for us as business levels were strong despite mixed results from our core market segments and the economic slowdown in North America and Europe. Our sales to electronic OEMs and their related supply chain were quite strong during this quarter and exceeded the reported industry growth figures. The successful conversion of design wins, allocation gains within the supply chain and the leveraging of our unique production capabilities were all contributing factors to outpacing the market growth for the quarter. While we feel good about our results for the first quarter, we are expecting a challenging time for the world economy and specifically the consumer electronics industry looking forward. The good news is that experts are predicting that the electronics industry learned a lesson on inventory management after the last recession and we see current inventory levels are running as much as half at our customers of the levels that were carried in 2001. Whether this tightening is enough we will not really know until consumer spending reports come out at the end of the year. Towards the end of our first quarter we saw customer demand start to drop off noticeably at most of our key customers. These declines were not based on any changes in market share but rather customers scaling back their orders based on the broader economic outlook. The general outlook for the mobile phone industry is somewhat mixed right now with most projecting the full year 2008 growth rate between 7% and 9%. These same analysts were projecting similar growth rates for 2009 but given current trends this may be a tough goal to achieve. We anticipate the rest of the year and the beginning of next year to be unseasonably slow. Increasing functional complexity will still drive the need for innovative solutions but customers appear to be scaling back on the variety of models they are developing. While this has the potential to help everyone with economies of scale, it also increases the bets that companies are placing on a smaller number of platforms. Although delayed, all geographies in Asia are now feeling the impact of the global recession. The OEM production that we have in Asia is largely focused on serving the needs of multinational companies with manufacturing operations throughout the region. With an ever growing middle class in areas such as China and India, Asia has a small added dimension of growth but this local demand still represents less than 50% of our total output. While currency was positive overall in the region, we are negatively impacted by currency in parts of the region most noticeably Australia. On the MRO side of our business we see a much smaller impact from the global recession. While many of the infrastructure and building projects in the western world have stalled, there’s still a lot of infrastructure needed in Asia and local governments, most notably China, continue to support their long-term investment plans. The MRO part of our business which is focused on selling safety and identification products for these new facilities is still performing well. Our commitment to develop and grow distribution partnerships has helped us be successful in expanding our reach into regions and large projects that we might not otherwise have been able to achieve on our own. Segment profit for the region was $22.4 million up 16% from last year’s segment profit of $19.4 million for the first quarter. The full utilization of our capacity during most of the quarter had a positive impact on our profitability. Margin pressures continue to be intense as our customers are dealing with major cost pressures in their own business and our suppliers are passing along price increases due to higher costs of some raw materials. The combination of these two forces places a premium on Brady getting ahead of the curve for unmet needs and developing unique and proprietary products. As we brace ourselves for the pending downturn we are focused on reducing variable expenses as much as possible without impacting service levels to our customers. We have been working hard for the past 24 months to look at consolidations which would improve our cost basis. These efforts continue and have intensified in recent months. While reducing costs in many areas, we still remain very focused on the development of new and proprietary products and continue to invest in new product development and the infrastructure that is associated with that. We are also continuing to invest in resources in support of lean business systems. We have achieved some very strong results from driving lean into our business culture and recognize that investments made in this area have paid dividends very quickly. I will now turn the call back to Frank Jaehnert.
Frank M. Jaehnert: We are frequently asked by investors how Brady will react in this recession versus prior recessions. We see several differences. First, the driving forces of the 2001 recession created a manufacturing recession but the consumer continued to spend. Second, there was a large movement of electronics manufacturers to Asia and at the same time we were building out our infrastructure in Asia while winding down our infrastructure in the United States and in Western Europe. Most importantly we believe we as a company waited too long to react in the last recession. Today we are not waiting to see what will happen. The downturn is here and we have told you about the actions already taken and we are prepared to take further actions should business conditions worsen from our [inaudible] today. What hasn’t changed is our willingness and desire to continue to invest in the growth initiative that will solidify our future. We continue to invest in R&D to drive new product development which is the lifeline of our business. We continue to focus on the Brady business performance system, to streamline processes and deploy common systems throughout our company. We will use our strong balance sheet, untapped revolver and cash flow to acquire companies that may become available. Thank you for your interest in Brady and we will now start the Q&A.
Operator: (Operator Instructions) Our first question comes from Charles D. Brady - BMO Capital Markets.
Charles D. Brady - BMO Capital Markets: I wonder if you could just give us a sense of what your assumptions are on organic growth by the segments, particularly Asia-Pacific given that that’s the segment that’s held up better than the other two over the past few quarters.
Thomas J. Felmer: Historically we’ve not given guidance by region and right now we don’t have that information here. We said that we expect to have the full year negative high single digit growth rate for the company and that is across all of our businesses.
Charles D. Brady - BMO Capital Markets: Do you expect organic sales on all three business segments to be negative?
Thomas J. Felmer: Yes.
Charles D. Brady - BMO Capital Markets: With regard to margins, it would appear that your guidance implies a pretty significant deterioration of some of the gross margin. Given that the mix of business of Brady Corp today relative to the last down cycle is different given the acquisitions that have been made and the markets you’re in today, can you give us a sense of where you think margins could get? I’m assuming that margins don’t get as low as they did in prior downturns. Would that be a fair statement?
Frank M. Jaehnert: Let me try to answer this question and Tom if you have anything to add, I’d be more than happy to have your comments as well. It’s very difficult to predict at this point of time; what the business mix might be and which region is up, which region is down, which product line is up and which product line is down. So we have tried our best to predict our net income and our EPS in a very difficult environment where numbers change daily. You know that because you’ve followed us for quite some time we don’t have long order lead times or anything like that. We get an order today and we ship the same day. We don’t have much visibility. So it’s very difficult. I hesitate to make projections on margins.
Charles D. Brady - BMO Capital Markets: On the share repurchase in the quarter, do you have the average share price?
Thomas J. Felmer: It was $36 million that we spent and it was 1.15 million shares.
Operator: Our next question comes from Allison Poliniak - Wachovia Capital Markets, LLC.
Allison Poliniak - Wachovia Capital Markets, LLC: You talked about the debt but could you walk us through the liquidity financial situation in terms of what’s available on your revolver at this point and just in liquidity overall?
Thomas J. Felmer: Liquidity overall we mentioned our current cash positions and we still have $200 million available on the revolver.
Allison Poliniak - Wachovia Capital Markets, LLC: In terms of the companies that you typically acquire being smaller and private, I know there hadn’t been any movement in terms of their interest in lowering multiples or what they are asking for their business. Has there been any movement on that just given all that’s going on in the global economy?
Frank M. Jaehnert: We have not seen much movement. Actually we have seen companies start pulling their businesses out of the selling process. We have watched a couple of auctions where the sellers have pulled the business before they even receive price indications just because the economy has deteriorated and their sales have come down, their profit has come down. People are just pulling their business off the market to wait this out. Ultimately what we see in every recession, we have seen this several times in all of them the last two decades, is when people go into a recession you see less activity in acquisitions until maybe reality sinks in and prices come down or they have to sell because of liquidity issues or other issues.
Operator: Our next question comes from [Chris Waltzer] - Robert W. Baird.
[Chris Waltzer] - Robert W. Baird: The $30 million restructuring charge and the $30 million of benefit, do you expect that charge to occur all in the second quarter of ’09? And I know you expect $30 million of benefit in FY09, but what’s the ongoing annualized run rate of savings there?
Thomas J. Felmer: We expect the majority of the restructuring to be in the second quarter; however there’s still some that will fall into the third and fourth quarter. In rough terms we’re probably looking at about half in the second quarter and the balance over the rest of the fiscal year. With regard to the anticipated savings, we said it’d be $30 million impact in fiscal ’09. We would expect the full 12-month impact to be in the range of $45 million.
[Chris Waltzer] - Robert W. Baird: Can you help us understand how these restructuring activities change your outlook for cash from operations in FY09? Previously you had expected cash from operations to be up. Do the restructuring costs balance out with benefits on the cash flow statement the same way they balance out on the income statement?
Frank M. Jaehnert: I would say the big question mark is how working capital is going to come down in a recession. Typically there’s a rule of thumb which says that if you go into a recession, working capital goes down and recessions are cash generators and booming economies are reducing your cash position. I think that’s probably more of a question mark than the impact of the restructuring.
Thomas J. Felmer: The only thing that I would add to that is the majority of the restructuring charges we’re talking about will be cash so that will also be a use of cash for the fiscal year.
[Chris Waltzer] - Robert W. Baird: You made comments about the acquisition market maybe being a little bit slow at this point. Given the credit situation and the deteriorating macro environment, how do you think about spending your cash on share buy-backs versus debt pay-down versus just building cash on the balance sheet in case an acquisition does become available?
Thomas J. Felmer: I think the priorities for cash remain the same. Clearly we’re still looking for acquisitions. Right now the acquisition market is soft; however as the economy deteriorates there may be some very good value properties on the market. We’re going to continue to watch for buying opportunities so that would remain our top use of cash, of course excluding the internal opportunities. We already mentioned we’re going to continue to invest in research and development and BBPS and things like that. But once you get out of the operations of the business, the first top priority is acquisitions. Then after that it’s a balance of looking at opportunities for stock buy-back and we continue to pay dividends. We’ve talked about and we’ve been asked about paying down our debt but we feel very comfortable with the term of the debt and it’s at a very good interest rate so I would not anticipate paying off debt.
Operator: Our next question comes from Anthony Kure - Keybanc Capital Markets.
Anthony Kure - Keybanc Capital Markets: I just wanted to get a little color on Asia, specifically with the migration of your business strategically to more of the high-end phones versus the low-margin low-end phones. I’m just wondering what the demand decline you may have seen from your customers differentiating or segmenting those two types of mobile phones.
Allan J. Klotsche: I would say at this point in time the demand decline has been about the same across those two segments. But if you believe what all the papers are writing that discretionary income is becoming tight for people, we think the high-end phones, the 42” plasma TVs are things that people probably are going to take a pass on this holiday season. So we would expect to see probably a little bit more impact on the high-end phones. In my comments I called out the high-end phones in the last couple quarters because we have some unique and differentiated new product developments that have gone into those products. But we have a very strong position also on the low-end phones.
Anthony Kure - Keybanc Capital Markets: And maybe just a little bit of color on pricing there. There’s an annual decline in price, just the nature of the beast, but do you think that given the environment pricing will be even further pressured? It would make rational sense. Have you seen that yet or not?
Allan J. Klotsche: We had some early signs that maybe the pressures might lighten up a little bit and then more recently the pressures have become very intense. But there’s a difference between pressure and what the end result is. You get to a certain point where you just can’t give anymore on some of these things and the industry’s getting pretty close to that and so are we.
Anthony Kure - Keybanc Capital Markets: In general I’m wondering if you can give any color as to what types of thoughts you might have with the additional contingency plans if things worsen.
Thomas J. Felmer: That’s a tough one to answer. Obviously we called out the actions that we took or are in the process of taking. When you go beyond that, it’s a variety of options. If you historically look at what we’ve done and Peter talked about some planned consolidations, there could be something along those lines. We continue to scrub every area of the business looking for more opportunities should conditions deteriorate. I think some of it would depend on where the business softened if it does going forward.
Frank M. Jaehnert: I think it’s important to know that we are working on contingency plans. What if business continues beyond our expectations at this point in time? That does not mean that we’d execute at this point of time but we want to be ready. We don’t want to be surprised and all of a sudden stand there and start thinking about what we can do next. We just want to be prepared and we can execute of course one thing is simple. If your sales volume and production volume goes down, the first thing you look at is direct labor and sales related this but then of course you look beyond that, what can you do and maybe to permanently restructure the business so that when the recession is over maybe you don’t even have to add some of those costs. That’s the kind of thinking we have. Not only to take variable costs down like direct labor but also see if we can streamline our business in such a way that when the recession is over we don’t have to add back all those costs so that we are a leaner organization coming out of the recession.
Operator: Our next question comes from Ajit Pai - Thomas Weisel Partners.
Ajit Pai - Thomas Weisel Partners: In terms of not your straight debt but just looking at the bank facilities that you have, have you seen any material change in the rate of borrowing or any reluctance from the banks in terms of lending or reducing limits or any negotiations there?
Thomas J. Felmer: Obviously we stay in very close contact with our banks. The banks we’re working with are still in good shape. We’ve had recent discussions with them and they’re still comfortable lending money to us.
Ajit Pai - Thomas Weisel Partners: Looking at your overall business portfolio, MRO is where Brady has had the majority of its revenue for a long time and then you ventured into sort of building up the die-cut business and OEM business a little bit. Could you give us some color as to looking at the overall business portfolio what the relative ROIC’s have been on a go-forward basis from a very broad strategic view whether you still think that the die-cut or OEM business is one you want to invest further in or you want to cut back investments from from a longer term perspective and whether there’s any kind of third leg to the stool that you’re thinking of just given the two businesses you have and the current scale of Brady? Is there any other area that you think you might want to add on or not?
Frank M. Jaehnert: That’s a very strategic question and I’m not sure if the conference call is the right platform to discuss it. I can assure you we have all these kinds of discussions. We constantly look at all our portfolio and our businesses, we look at opportunities to grow and maybe change the spaces, and we ask ourselves on a regular basis. I’ll be happy with all the businesses we have. What is the future of those businesses [inaudible] fundamentally change in the environment? Rest assured that we’re going to look at this. What we will not do however is take a situation like the present economic weakness and make short-term decisions based on the current economic situation. We would look at a business more from a long-term point of view. What is this business going to look like under normal circumstances, not in this particular time?
Operator: Our next question comes from Charles D. Brady - BMO Capital Markets.
Charles D. Brady - BMO Capital Markets: With respect to the commentary on contingency plans, can you talk about where you are from a manufacturing footprint standpoint? How comfortable are you with that footprint today? Could that contingency plan involve additional consolidations beyond what you’ve talked about in terms of some of the European plants?
Frank M. Jaehnert: When we look at contingencies, we will be looking at our manufacturing footprint as well and it could very well include further consolidations of manufacturing or for any other facilities we have worldwide. That’s a good observation at this point of time. We cannot give you any color on this however because that’s a contingency.
Operator: There are no further questions. I would now like to turn the call over to Barbara Bolens for closing remarks.
Barbara Bolens: We appreciate your participation today and would like to remind you that the audio and slides from today’s call are available on our website. The replay of this call will be available via the phone beginning at noon today, November 20. The phone number to access the call is 888-286-8010 with a pass code of 10329799. The replay will be available until December 1. As always if you have questions, please contact us. Thanks for your interest in Brady and have a great day. Operator, please disconnect the call.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. Everyone have a great day.